Operator: Good morning, and welcome to the Marpai First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Steve Johnson, Chief Financial Officer. Please go ahead. 
Steve Johnson: Thank you, and good morning, and welcome to the Marpai First Quarter 2024 Earnings Release Webcast. With me this morning is Damien Lamendola, CEO and Director of Marpai and John Powers, President of Marpai. Today, we'll dive into the booming TPA market, our strategic moves and the financial results that are propelling Marpai forward. Please see the required safe harbor and forward-looking statement disclosure on your screen.
 Next, I'll turn it over to Damien to talk through our agenda for today. 
Damien Lamendola: Just jump right in. First, I'll break down the TPA market trends fueling our future growth. John will then detail our recent game-changing actions. Steve will walk us through our financial performance, and I'll wrap up outlining our unwavering strategic focus. Health care premiums are skyrocketing, driving employers to cost saving self-funded plans, which third-party administrators like Marpai manage. That's a win-win for businesses and us. But in like most third-party administrators, we offer access to 2 leading national provider networks, giving our members exceptional choice and better care.
 As seen in the bottom chart, these increases are driving more and more employers to self-funded health benefit plans. While estimates vary, typically, and clear to say 10% by just switching to a self-funded plan. And while many third-party administrative struggle with network coverage, Marpai is one of the few independent third-party administrators that has access to 2 leading national provider networks with Aetna and Cigna to our members to have a terrific choice of in-network care. 
Steve Johnson: Thanks, Damien. Also, the TPA market is a very attractive space for both financial and strategic buyers with the growing importance of TPAs as the conduit for significant cost savings and recurring cash flows. There has been strong activity in the M&A market and valuations continue to rise. One key differentiator of Marpai is the sheer number of choices that a potential client can choose for their benefit plan and dial up the savings with additional value-added services such as wellness programs and cost containment services. We're not just claim processors, we're strategic partners offering value-added services like wellness programs that deliver real savings for clients.
 This translates to a win-win for everyone and an exceptional return on investment for Marpai. We believe that the company is positioned for success. Now I'll turn it over to John Powers, President of Marpai, to highlight the company's completed actions. 
John Powers: Thanks, Steve. Since joining in January, we hit the ground running. We've conducted a strategic review, eliminating low-margin and high-touch clients. This boosted our average per employee per month revenue by 21.5% and the gross profit by 22.6% compared to Q1 of 2023. We've also secured a great new off-cycle client, hired top-tier sales talent to help accelerate growth and delivered a highly successful open enrollment season. But that's not all. We've laser focused on the member experience, improving service metrics like faster response times and smarter cost containment reviews.
 Finally, we've completed the first phase of our upgraded client and broker reporting packages. I'll turn it back over to Steve to discuss the financial results. 
Steve Johnson: Thanks, John. Execution and profitable revenue growth are our top priorities. In the first quarter of '24, net revenues were approximately $7.4 million for the 3 months ended down $2.4 million or 24% lower year-over-year compared to the 3 months ended in March of 2023. As John alluded to, this is primarily due to our strategic shift away from low-margin clients. Gross profit was $2.5 million for the 3 months ended in March 2024, down $0.7 million or 23% lower year-over-year.
 Operating expenses were $6.6 million for the 3 months ended in March of 2024, an improvement of $5.2 million or 44% lower year-over-year compared to last year. This demonstrates our commitment to efficiency. Operating loss was $4.1 million for the 3 months ended in March of 2024 an improvement of $4.5 million or 52% lower compared with the 3 months ended in March 2023. Net loss was $4.3 million an improvement of $4.5 million or 51% lower year-over-year compared to March of 2023.
 Basic and diluted earnings per share were a negative $0.46 in the first quarter, an improvement of $1.22 per share compared to the 3 months ended in March of 2023. The takeaway, we're making significant strides towards profitability. Moving on to our balance sheet highlights. Ending cash balance at the end of the quarter was $0.9 million. Restricted cash was $12.8 million. And then I always like to remind folks that our restricted cash primarily represents the funds on hand to pay for member claims. And if you look down further on the balance sheet, you will see an offset of under current liabilities called accrued fiduciary obligations, which were $9.5 million.
 Marpai collects the funds prior to payment of the members benefit claims. Total assets were $30.1 million, down $1.6 million from year-end. Current liabilities, the accounts payable was $3.8 million, down $0.8 million from year-end 2023. So we started paying down our aged payables. Total liabilities were $44.6 million, down $0.5 million from the year-end in 2023. And stockholders' equity was a negative $14.5 million, representing an increased deficit of $1.1 million from the year-end in 2023.
 So again, all moving and pointing in the right direction. In Q1, our focus was stabilizing the balance sheet, and we've achieved that. Now moving on to the cash flow. A few key numbers off our cash flow statement. Net cash used in operations was only $3.6 million, an improvement of $2.9 million from the first quarter of 2023. Net cash provided by investing was not material. Net cash provided by financing activities was approximately $3.7 million, which was primarily from the sale of common stock in private offerings to insiders at market prices.
 Overall, the company was essentially cash flow neutral in the first quarter, an improvement of $6.5 million from the first quarter of 2023. Next, I want to highlight a few of our financial accomplishments in the first quarter and highlight also that these recent capital actions provide the required funding for operations for the next 12 months. While we may do other capital-raising activities, the capital that we currently have on the balance sheet is adequate to fund our operations for the next 12 months.
 Some of those actions that contributed to that was a previously announced payment term extension by AXA and a $3 million discount on the outstanding payable. If you recall, Marpai purchased Maestro Health from AXA in November of 2022, and we have roughly $19 million payable that we are paying down for AXA, and we negotiated in February an adjusted payment schedule where we made and recently completed some minimal payments for 2024 and delayed all further payments until 2025.
 And in addition, AXA has indicated that they will reduce our outstanding payable by $3 million, and it's -- I wanted to highlight that it's not included in our -- the $3 million discount is not included in our Q1 2024 results. In addition, we completed a financing of up to $11.8 million in convertible notes with JGB Management Capital, it has a conversion feature at a premium to the current share price. So very, very favorable terms there. More details can be found in our 8-K that was filed upon consummating the deal.
 And then finally, and probably most importantly, is we've gotten continued support by insiders and leadership through an additional $3.7 million equity raise at the market just in Q1 alone. So we're well positioned for continued growth. 
Damien Lamendola: Thanks, Steve. Our strategic priorities remain clear, exceptional customer experience, operational excellence and delivering on the Marpai says promise. The actions we've taken and the financial results we've achieved demonstrate our unwavering commitment to these goals. We're very excited about the future. 
Steve Johnson: Thank you very much, Damien and John. I'll leave this slide up for a little bit. If you have any questions or require further information, please feel free to contact me at steve.johnson@marpaihealth.com, or feel free to go to our Investor Relations website, which has tons of information there. I will highlight that this webcast will be available for replay. This concludes our first quarter earnings call.
 Thank you again for joining us this morning. 
Operator: Ladies and gentlemen, thank you for participating. You may now disconnect.